Santiago Donato: Good morning, everyone. I'm Santiago Donato, Investor Relations Officer of IRSA, and I welcome you to the Second Quarter of Fiscal Year 2025 Results Conference Call. First of all, I would like to remind you that both audio and a sideshow may be accessed through company's Investor Relations website at www.irsa.com.ar by clicking on the banner webcast Link. The following presentation and the earnings release are also available for download on the company website. After management remarks, there will be a question-and-answer session for analysts and investors. If you want to make a question, please use the chat. Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Matias Gaivironsky, CFO.
Matias I. Gaivironsky: Thank you Santiago. Welcome and thank you for joining us in this presentation of our second quarter 2025 results. Let me summarize the main events of the quarter. During these six months period, we reported a net loss of 41 billion Pesos mainly explained by a non-cash effects of the appraisal of our investment properties. Our shopping mall have shown a steady recovery in occupancy and tenant sales. We have also completed the acquisition of our 16th mall Terrazas De Mayo in greater Buenos Aires. In the office segment, we have achieved a full occupancy of our premium portfolio. About our hotel segment, after a record high during the last year, this year, we are seeing weaker results both in occupancy and revenues. Also, we have achieved a major milestone with the sales of the first two plots of our main project, Ramblas Del Plata, that Jorge will explain later. Finally, during the last quarter, we pay again dividends with a yield of 8% plus shares in treasure. So now, let me introduce Santiago Donato, our IRO to continue with the presentation.
Santiago Donato: Thank you, Matias. Here we can see in this page, Page Number 3, the evolution of real tenant sales in the last years in our shopping malls and occupancy rates as well. As Matias mentioned at the very beginning, our shopping malls keeps recovering on a quarterly basis. They increase by 21.4% on the second quarter 2025, compared to the previous quarter but still 8.5% below compared to the same quarter of last year. The positive news is that we are starting to see positive numbers in recent months so we expect that the next quarter, the third quarter of 2025 is going to be really good. So prospects are positive in line with the economic and real wages recovery in Argentina. In terms of the stock, as you can see there, we incorporated to our portfolio a new shopping mall. This quarter, Terrazas De Mayo that then Jorge Cruces will explain a little bit more about that acquisition, adding almost 34,000 square meters of GLA to the portfolio. Occupancy remain quite -- very high and stable at levels of almost 98%. But if you compared to last quarter, last quarter was a little bit down. This figure we are excluding here, the Terrazas De Mayo as we have recently acquired, Terrazas is occupied at 82.3%, but we expect to improve its occupancy level in the upcoming month. The plan there is to do a turnaround and an improvement in tenant mix and occupancy and profitability that then Jorge will explain better. Moving to next page, here we have the office operating figures. We have been selling some additional floor. We sold one floor more of the Della Paolera in the last quarter at very competitive prices. So we currently manage a portfolio of 58,000 square meters of GLA, mostly A plus and A category. The great news is that we fully occupied that portfolio, that premium portfolio will reach 100% mainly due to the full occupancy at Dot building. So there is a return to office to work in the country. And we are seeing very good occupancy levels in the whole industry, even though our portfolio is above the average of the market. And in terms of rents, we are similar levels, quite stable in levels of $25 per square meter per month. And to finish the rental part, we have the hotels. The hotels has represented the challenge this year after two years of boom and record a beat down occupancy. The tourism activity and hotels activity in Argentina is facing the context of the appreciation of the Argentine Peso compared to the dollar and lower influx of international tourism in the country. So you see an occupancy a little bit down compared to last year from 70%, almost 72% to levels of 67%. And rates per room also decreased a little bit, except in Llao Llao [ph] that we reached almost $500 per room. Despite this situation the hotels are generating good revenues when you compare to its historical average levels and provides a good diversification to our rental portfolio. Of course, the evolution of these segments will depend on TFX and tourism trends in the country. So moving forward, I will introduce Jorge Cruces, our CIO for all our CAPEX plans and projects under developments.
Jorge Cruces: Thank you, Santiago. Good morning, everybody. Well, as said, we have acquired the Terrazas De Mayo shopping mall located in Malvinas, Argentina. By the way, I live close by. This is the outskirts of the city of Buenos Aires towards the Northwest. It has a gross, leasable area of approximately 33,700 square meters. It features around 86 stores, 20 stands, plus 15 food court shops and 10 cinemas. The transaction amount was set at $27.75 million, of which $16.65 million have been already paid. As for the rest, it will be canceled by halves 20%, 36 months after the first payment, and the other 20% upon the deed signing. We are very excited about this acquisition not only because $800 for each gross, leasable area is a very reasonable acquisition price, but also because we believe there's a great turnaround opportunity. Let's recall key numbers of Ramblas Del Plata. 870,000 buildable square meters with basements, it totals more than a million square meters. If we convert to sellable square meters, it's around 700,000 square meters, more than 10,000 new homes, and an estimated investment over $1.8 billion. We are proud to say that it's the most important private development ever in the city of Buenos Aires history and its rolling. Marketing the peninsula is divided into three phases. Stage one, covers over 125,000 sellable square meters. It's located surrounding Central Bay. Stage two covers close to 300,000 sellable square meters, and it's located towards Porto Madero. And Stage three covers around 270,000 sellable square meters and its closest to the river. We sold two parcels to a well-known developer for $23.4 million with a 30% down payment. The parcels are A, number two, and G, number one. More than 40,000 square meters are allowed to be built. We also signed a lease agreement for the development of a sports complex. It will have a driving range, paddle tennis, gym and other attractions. Meanwhile, we are moving forward with 14 swaps of which 10 are in an advanced stage. All together, we estimate sales were $120 million. The environmental approval certificate was issued in December, enabling us to start construction of the infrastructure. Roadworks and public park of the first stage and part of the second stage. The infrastructure work will be in the service of 27 plots, almost half of the total amount of plots. We estimate an investment of $23 million. We've broken ground with it, earth moving works, consolidating the earth mound around Central Bay. This is required so we can complete the seal sheet piling border. The sheet piling work contract has been awarded to [indiscernible] and will start delivering steel sheets and working on site by April. We have also received biddings for roadworks, sewers, and drainages. We shall be awarding those contracts in the next weeks. [Indiscernible]. During the month of November, the building hosted Casa FOA, one of the most important design and architecture exhibitions in Latin America. For the event, a sales office was set up along with two model units to showcase and launch commercial actions. Around hundred apartments have been reserved at an average price of $4000 per square meter. That's $15.3 million. We have begun the process of signing the purchases agreements. Regarding construction, architectural projects have been delivered so we're ready for bidding. Upcoming bids shall concrete structure and mayor civil works. In the meantime, we have already started our first phase of construction by doing some demolishing work in the basements. Next, Nexo Dot Housing, the project is located between Dot Shopping Center and Zetta office building. It includes two levels of office space, around 5000 square meters, 160 apartments in five levels, and a commercial esplanade that links that with Zetta. We estimate the Environmental Aptitude Certificate renewal will be granted by March, which will allow us to start work plans and construction permits. The estimated delivery date for architectural projects is by the end of May. Project Caballito [ph], city block number 35. The project has three residential towers with 500 apartments and 500 parking spaces. We have been adjusting the project to meet new market needs. As for the construction work, the focus is on Tower Number 3. The concrete structure in elevation is totally finished. Masonry work has been completed up to the fourth floor and we are currently working from the fifth floor to the 13th floor. La Plata. Construction works are in progress. Soil movement stage has been completed and stage two should be finished by the end of May. We started outdoor gases for structure work and we estimate completion by October. Last but not least, we are soon beginning concrete and steel structure work. Form then we shall start marketing the residential parcels surrounding the shopping mall. We expect this to be another success story like Alto Rosario has been in the past. Alto Rosario is a mixed-use development. First we build the shopping mall. Then we sold the whole city block for mostly residential but it also had office building and a hotel. And now subdivision of the parcel of the shopping mall has been approved. This allows us to construction of four residential towers, approximately 40,000 sellable square meters. Alto Rosario is still growing and has become one of the trendiest areas in Rosario. Mixed-use developments close to our shopping malls have been very successful. Not only Alto Rosario, but also it happened in [indiscernible]. Residential buildings in La Plata diagonal district and that should be a hit. No doubt about it. We will akin this to [indiscernible]. We expect the infrastructure to be finished by the end of the year. The overall project has 330 single-family lots, 125 lots are ours and we expect to sell them for approximately $23 million. We began commercialization, to date 33 lots are being sold for $5 million. We spoke quite a bit about residential developments and that's because we believe in their potential. First, as a percentage of GDP, mortgages are 0.5%, close to nothing. But this is changing, credit deeds have around 15% this last year, apartment prices have also increased somewhere between 10% and 20% depending on the neighborhood. That's because there's been a lot of sales this last year as we can see on the chart. These fundamentals are driving us to focus on residential. Now, let me give the floor back to Matias, thank you.
Matias I. Gaivironsky: Thank you, Jorge. Trying to explain our financials for this six-month period. First, we need to understand what happened with inflation and the evaluation. Remember that last year in December was the big jump in the FX from $350 pesos to $800 pesos per dollar. During this year, the government implemented a strategy of a crawling peg going at 2% per month and now at 1% per month. So, that in terms of Real appreciation or depreciation of the Peso last year we have an important devaluation of 52%, and this year we have an appreciation of the FX of 7%. And also regarding the Blue Chip swap, this year the FX almost -- the gap between the official and the Blue Chip swap almost disappeared. And remember that we to express in Peso term valuation of our offices and land bank we used the dollar map and because of that we are posting some losses this year because that gap didn't exist anymore. So we are going to the next page about the adjusted EBITDA. We can see numbers in line with the previous year in malls and in offices. In offices we have some improvement because of the FX in terms of dollars is almost the same. Remember that we signed the agreements at official dollars per score meters. So now we have a little better numbers in Pesos term. And we can see here also the drop in the hotel EBITDA from 15 billion Pesos to 5 billion Pesos this year. Our margins, we can see margins of malls in line with the previous year, offices improving a little, and a drop in the hotel margins from 38% to 17%. Next page we can see in the right part the effect of -- the main effect of this semester about the valuation of our investment properties. Where the last year we post an important gain of 300,000 million Pesos compared with 233 billion Pesos lost during this year. When we analyze the value in dollar terms, I can say that in offices and the land bank remain very stable in dollar terms. So almost the same numbers. In malls we are improving a little evaluation because we are using a DCF model and the counter risk decrease during the year so we are giving effect of that decrease in the country risk and that generates an improvement of around $100 million of our mall portfolio. Going forward we believe that this valuation of malls should increase a little more basically because the country risk is decreasing and our figures also on the operational side are improving. So when we believe that in the next quarters we will keep increasing the valuation of that segment. About the net financial results as I said at the beginning last year we have the impact of the valuation that you can see in the table on the left side on the bottom where you can see a net FX result of 205 billion Pesos loss compared with a gain of 21 billion Pesos this year because of the appreciation of the Peso. Then we have lower results on the inflation adjustment basically because of the reduction of the inflation. The net interest remains stable compared with the previous year and then we have a gain of the fair value on financial and assets and liability that are related to our liquidity that improve in terms of valuation. And finally about the income tax, we can see here the gain of 34 billion Pesos that is divided in a gain of 93 billion Pesos related to the deferred tax and a current tax of 60 billion Pesos that this year we will start to pay taxes again, the income tax again after consuming all the tax credit during the last years. So we are estimating that this year we will start to pay income tax again. So with all those effects we finished the quarter, the six-month period with a loss of 40 billion Pesos compared with the gain, an important gain last year. When we value in dollar terms we can see here the rental EBITDA evolution, so we can see that we will keep generating good levels of cash in all the segments in line with the previous years. So we are happy with this performance. About our debt we finished as of December 31 with a net debt of $255 million. Remember that during the last quarter of the year we paid a dividend of around $77 million and also we paid the 60% of acquisition of the shopping mall Terrazas de Mayo and with that we only increased a little the net debt to $255 million that is very conservative in terms of ratios, 1.6 times net debt to EBITDA and LTV of only 12%. As I said we paid a dividend in the last quarter $77.6 million that was a dividend yield of 8% so we keep paying good levels of dividend during the last three years. So with that we conclude the presentation, now we invite you to ask any question that you may have.
A - Santiago Donato: Thank you Matias. While we start the Q&A session we will take the questions by chat in the order we receive them.
Unidentified Analyst : Here we have the first one related to Rambla Del Plata if we can give some color on price per square meter that you're planning to achieve for this project?
Jorge Cruces: Well it depends on the building. There's going to be different kinds of buildings. I believe that the high towers are going to be more expensive maybe than the other ones. But let's say there is when we receive those apartments, it's not going to be less than $4000 at the beginning. It depends on how the project is going to be consolidated, it's based on the country also, but I don't think it's going to be less than $4000. The low buildings and maybe close to $5000 the tall towers and it should get including future may get it all the way to $6000 maybe.
Santiago Donato: Thank you Jorge.
Jorge Cruces: It's going to take a while. We're going to be receiving the apartments maybe like in four years from now. So from now until then it's going to be increasing quite a bit, the amount of dollars for each square meter.
Unidentified Analyst : Another question regarding financing of this project probably for Matias. How do you plan to finance all these huge investments that you're expecting for the next years?
Matias I. Gaivironsky: Well depend on the project. About Ramblas as we mentioned in the past, what we are doing with this strategy at the beginning we sold some plots that will cover the infrastructure and also we are swapping the rest of the plots with local developers. So basically IRSA won't do any investment. We will receive the score of the finished units and then we will sell the units. So that won't consume any cash for the company. And then regarding La Plata project or Edificio del Plata where IRSA is one of the investors, it's not the only investor. We have around 28% of the square meters or 20 sorry 23% of the square meters. So we are one of the investors. And Nexo building we have today a strong cash generation, so I think that any of these projects will take like two three years of development. So you have to divide the amount of the investment by three years. So we believe that with our own cash generation we can finance easily all those projects. And then if we need to increase a little our debt today we believe that our debt structure is too conservative in terms of ratios, in terms of LTV considering also that the company will start to pay taxes again. So the tax shield on the debt also will help us to improve our capital structure. So maybe if we need we will increase a little our debt.
Santiago Donato: Well we give some more minutes for any additional questions that you may have. Please use the chat. Well I don't see any more questions so I will turn back. We conclude the presentation. I will now turn back to Matias for his closing remarks. Here I have one more, sorry.
Unidentified Analyst : Well how do you plan on managing all the maturities that maturities next year 2025?
Matias I. Gaivironsky: Well first of all we have liquidity so we have a cash -- important cash position. So if we want to just to cancel the debt we can. So we will analyze the structure if we go to the market or to raise debt on a banking system. But we have today the liquidity to cancel the debt so we feel very comfortable about the following amortization.
Santiago Donato: Now yes, Matias if you can conclude with your closing remarks for the period and we see you next quarter.
Matias I. Gaivironsky: Okay, so we expect the next two quarters to bring positive news for our shopping mall segment. As Santi said, as we compare against the period following the beginning of the Milei administration when consumer spending experienced a significant contraction, we anticipate seeing improved numbers on our contract when we compare with the last year. Additionally, we should see further progress in signing of the initial swaps of Ramblas del Plata so we expect in the next two quarters positive news about that as well as the commencement of the construction of the several of our projects. So we see the year very positive with good news to come. So thank you very much for all of you to participate in this call and see you in the next one.